Operator: Good morning, and welcome to Eos Energy Enterprises Fourth Quarter and Full Year 2022 Conference Call. As a reminder, today’s call is being recorded and your participation implies consent to such recording. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. With that, I would like to turn the call over to Joe Crinkley, Communications Manager. Sir, you may begin.
Joseph Crinkley: Thank you. Good morning everyone and thank you for joining us for Eos financial results and conference call for the fourth quarter and full year 2022. On the call today, we have Eos' CEO, Joe Mastrangelo; and CFO, Nathan Kroeker. Before we begin, allow me to provide a disclaimer regarding forward-looking statements. This call, including the Q&A portion of the call, may include forward-looking statements, including current expectations with respect to the future results of our company, which are subject to certain risks, uncertainties and assumptions. Should any of these risks materialize or should our assumptions prove to be incorrect, our actual results may differ materially from our projections or those implied by these forward-looking statements. The risks and uncertainties that forward-looking statements are subject to are described in our SEC filings. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. Today's remarks may also include references to non-GAAP financial measures. Additional information, including reconciliation between non-GAAP financial information to U.S. GAAP financial information, is provided in the press release. Non-GAAP information should be considered as supplemental in nature and is not meant to be considered in isolation or as a substitute for the related financial information prepared in accordance with GAAP. In addition, our non-GAAP financial measures may not be the same as or comparable to similar non-GAAP measures presented by other companies. This conference call will be available for replay via webcast through Eos Investor Relations Web site at investors.eose.com. Joe and Nathan will now walk you through the company highlights, financial results and business priorities before we proceed to Q&A.  With that, I'll now turn the call over to Eos CEO, Joe Mastrangelo.
Joe Mastrangelo: Thanks, Joe. Thanks everyone for joining this morning as we deliver our 2022 financial results. I'd like to move right into Page 3 and go through our operating highlights, the classic format we use every quarter. When you look at how we see the market growing, and we'll go through it in a little bit more details as we go through the presentation, but our opportunity pipeline stands at $7.5 billion, representing 29 gigawatt hours of potential orders. We've seen a significant strengthening in growth in this number since the passage of the IRA, and I'll talk later on the presentation about how we see that evolving here over the next 12 months.  Booked orders, we booked almost $340 million of orders, about a gigawatt -- 1.4 gigawatt hours, that when you think about where we were at the end of last year, tremendous performance by the team. Had a lot of momentum going into 4Q that made us feel good about increasing our orders commitment for the year. But with the passage of the IRA, we saw a lot of growth on the opportunity pipeline side. The slowdown on the order side is everybody's kind of waiting to see how treasury rules on the investment tax credit and the production tax credit. So I think more to come, but I feel really good about what we're seeing in the opportunity pipeline.  On discharge energy, we're above 800 megawatt hours of energy discharge. It continues to grow quarter-over-quarter. Today, as we get later into the presentation, I'll walk through and talk a little bit about the containers that we built, where they are in their fields of operation and how we're moving that forward with our team out in the field. Revenue, we came in at 17.9 million, 290% increase versus last year, below what we set our guidance on at the beginning of the year. But if you remember, the end of last year, we reduced that guidance just as the IRA legislation came in place and working with our customers to have shipments go out in 2023 so that both of us can take advantage of the full benefits of the IRA program.  We ended the year with a little bit over $17 million of cash on hand that's available for us to use, plus another $14 million of restricted cash tied to our senior secured loan with Atlas Credit Partners. So when you take all those things into consideration, really some good performance by the entire team as we move forward. I want to go now to Page 4 and talk a little bit about the page that we showed last time we were together and just talk through where we are versus what we said in Q3. Around the legislation, I told you about the impact on orders and shipments at the end of 2023 but feel really good about how that's going to evolve here over the next few months as we see blue chip customers and also significant shift to longer duration storage, we see the pipeline going up, I think you'll see that converting into orders as we go through the year.  On the existing product, we delivered our largest project to date to Pine Gate for their Eastover project, and we're in the midst of finalizing commissioning on those units. The team has done a fantastic job as we've gone through 4Q really, in my view, being in the industry for 30 years, this is our first time executing on a big project. I think the team really did a phenomenal job of working through and confronting things that we really never saw before, because we've never done something this big. But the level of expertise that we brought in the company has allowed us to manage through that as we get the project up and running for our customer.  On Z3 development, we started manufacturing the product in Turtle Creek. We're really excited about how the product is performing. I'll go into a little bit more details on how that works. But this move of going to the Z3, which takes a safe product that performs and gives operating flexibility and really further simplifying it down to fewer parts of faster manufacturing cycle time, better operability, higher performance was the right decision for the company. And what we're seeing coming off of our low rate initial production line here at Turtle Creek has been nothing short of good news and we feel really good about how we can move this forward in the future.  From a capital allocation standpoint, we do as I said in order to produce those units we installed our initial Z3 manufacturing stations. Another example of going from an empty room to a line up and running and producing products, relatively low capital allocation just proves out the theory that we've been saying since we went public two years ago that this is a scalable technology that can provide measurable benefits to customers and can be scaled in a capital efficiency that other technologies have yet to see.  From our revised strategy, we delivered on what we said we're going to do at in Q3, and feel really good as we enter 2023. Again, we'll go through and Nathan will talk later on. The biggest thing for us is now pulling all these things together, getting the capital to be able to scale the company, and we're working on that amongst multiple different avenues. Most importantly, we continue to work with the Department of Energy on our loan application. We're in the due diligence phase. We feel really good about the cooperation that we have.  And going through, this is something that really when you think about what we're doing as a company, it's somewhat a first for the industry, for sure, and somewhat a first for the LPO. So we're being very thoughtful about how we move through the process with them to get through due diligence into conditional approval and funding here in the later part of 2023. So feel good about the positioning, more to come as we move forward. We'll keep you updated on the progress, but continuing to progress and work with them through the due diligence process.  Now if we go to Page 5, and you look at the energy storage market, this integrated legislation that's been put in place for the United States is something that's really accelerating the growth for energy storage. And again, our technology was designed to be paired with what I would call green molecules like wind and solar, but also works well to make brown molecules a lot more effective. And we're seeing the demand not only increase for energy storage in general, but also the duration of how people want to use the product. And then understanding as you have more and more intermittency brought into the grid, both from how energy is used and how energy is produced, our technology fits perfectly in there.  Now the important thing to think about, again, like the market is huge, the growth is big, focus is important. So when you look at this inside the United States, three markets -- successfully commercially launching and establishing ourselves in three markets will allow us to hit significant growth for the company. The California market, where we announced a project with the California Energy Commission and Indian Energy is currently under execution. We look forward to delivering that. But there's more to come behind that as they are really at the forefront of long duration non-lithium-ion storage to add to what they already have in their grid.  The ERCOT market in Texas, there's a queue of 66 gigawatt hours. We've got projects that we'll be delivering there out of our backlog over the course of '23. But we see an uptick in our opportunity pipeline specifically focused on the ERCOT market. And then New York is another area with the goals that they've put out for green energy and carbon neutral strategy, there's significant amount of future growth as we go forward.  Now I feel good about the overall legislative landscape that we're putting in place to be able to grow energy storage. So there's benefits on the investment side that are also added with a 10% kicker on the investment tax credit, if you buy U.S. technology. We're pushing to make sure that that's manufactured in the U.S., not assembled in the U.S. We're trying to establish there’s a clear supply chain for the country, as we move forward to give us better grid stability and great energy security.  And talking about energy security, if you move to the far right-hand side of the page, you see Europe announcing a new green deal. We're starting to see growth there. You see Australia coming out with a climate solutions package. I think what other parts of the world are seeing is that with an integrated strategy, like the United States has right now, there's an opportunity to grow and grow not only your ability to generate power for people to live their lives, but also do that in a less impactful way on our environment. If you think about the challenge that we face as an industry, over the next 20 years, the demand for electricity will increase 50%. That demand for electricity is going to need technologies like Eos, and I think we're primed to be able to deliver that as we look forward.  Now just wrapping up here on 2022, I'm proud of what we've done. When you think back, I love being on the inside of the company and watching what everybody does on a day-to-day basis. There's tremendous performance. We've got to continue to drive the company on this path to full commercial scale, and the Z3 product allows us to do this. But year-over-year, we've increased our shipments to customers 4.4x. We got to 600 megawatt hours of capacity with a $20 million investment proving that you can scale quickly and capital efficiently our technology.  As I talked earlier, we delivered 17.9 million of revenue from our backlog. We got our manufacturing process and the Gen 2.3 product above 90%. That above 90% we'll talk about. If it's that good, why are you switching? Well, if it's that good, why are we switching, because switching to the Z3 allows us to do it faster with even a higher yield than that 97% even as we're producing our first batteries. And we've accelerated our booked order growth. I talked about the orders growth, but I also want to talk about 1.3 gigawatt hours of signed customer master supply agreements.  Those are agreements that go over across multiple years, more seeing happening in the spaces as customers look to that growth I talked about on the prior page, and they see tight capacity coming from lithium-ion with lithium-ion really being focused on the EV market, they look to us as the company with probably the largest manufacturing capacity in the industry for non-lithium-ion batteries and look to us to help fill that gap and be able to grow. So we feel really good about that 1.3 gigawatt hour of multiyear master supply agreements just to allow us to steadily grow in the future.  And then lastly, just want to give this quick snapshot of six metrics that really talk about the performance in 2022. Order pipeline up 83%, booked orders up nearly 150%, order backlog up over 200%, shipments up over 300%, revenue up nearly 300%, discharge energy up 100%. Great performance, and again when you think about this, the piece that's missing in here is a profitable company. And what we learned about the Gen 2.3 product was there was a lot of cycle time required to manufacture it, there were components inside of that battery that were higher cost for us to be able to drive cost out. And the switch to the Z3 positions us to start this journey from where we are today to becoming a cash flow positive company.  So if we go to the next section, so commercial viability for the product, it's very important to think about the demand is there, it's getting to the point where we can show that the product works as designed, and then continue to grow the company as we move forward. So if we move to Slide 9, shipments and installations. I think this is an important slide that really talks about some of the dynamics that we're seeing out in the marketplace. We've shipped 258 energy blocks over the life of the company, as of the end of February -- as of the 26th of February in 2023. When you look at how that mix works, 6% of those are out cycling in the market; 75% of those are in commissioning with the lion's share being the Eastover project for Pine Gate, which you can see a picture of that project on the lower right-hand side of the page. It's just a beautiful thing for all of us inside of Eos to look at. And for those of us that have been with the company for a while, it's also one of these aha moments where you say, look at what we've created from a small lab in Edison to have a factory in Turtle Creek, and then a project like that down in South Carolina. That 75% will change as Eastover comes online.  And then there's another 19% that are waiting permitting and site readiness, as customers work through their process to get ready to install the container. So we continue to work this. I talked earlier about the work that the team has done out in the field, really phenomenal and something for all of us to be proud of. And really, we'll continue to show this as we move forward. But this really goes to show that this is a product that's no longer in the lab, it's no longer just in the factory, it's out in the field and being used by customers.  So if we move forward -- if we just go to the next page and take that installed base and think about how it's being used out in the field, the big thing for me is we crossed the threshold of 500 megawatt hours out in the field; 500 megawatt hours of energy generated out of our systems out in the field by customers. We're approaching 1 gigawatt hour of output. It's going to be great to watch as the Eastover project becomes live. When you look at that chart on the lower right and you look to the far right, you see that line sloping up. That's the cycling that we see in Eastover today and it's only going to increase as the customer uses that technology.  Now the next slide, on Slide 11, look, that's talking about what we've done and where we are. This next slide is just a picture of the team that made the first Z3 Cube a reality. You can see the Cube, but more importantly to see the team, the people that actually made this happen. That Cube is now in our facility in Edison, New Jersey and going through various performance tests and updates around our BMS, our software to operate the system. But I'm proud of that group of people that you see standing in front of that product and proud of that product. It's just a great accomplishment to think that that's how we started off 2023.  If we go to Slide 12, here's some shots of the low rate initial production line there on the bottom left. We're rapidly approaching 1,400 batteries as we speak. The beauty of this is that the yield off of this line is 97%. Now when you think about this, I just want to talk for a minute about our strategy of how we build out capacity. And I've talked about this before, where many battery companies in the past have struggled because they build a factory, then go out and try to get volume. And then when they start manufacturing, you learn what you don't know. We truly are in uncharted territory here. So everything we do is a first. So you want to learn before you make a massive investment.  So what do we do as far as bringing capacity online? We start off by bringing in discrete manufacturing processes and getting those to perform at a high quality level. That’s that 97% first pass yield. We then go and figure out how many of those machines do you need in a manufacturing cell to be able to get capacity. And then we try to figure out what's the configuration of those machines in the manufacturing lines so that you can drive the optimal performance and output of that line. You have some machines on the right, you have some machines on the left, how do you feed the material in but we're moving the material manually.  Because once you figure out your line configuration to that manual material move, then you automate. The hardest thing to do in the flow production line, like what we're doing here, is build a line and then realize that should be in a different spot, maybe something should come before or after, then that cost a lot of money to fix. So we're very wise with the money that we spend to make sure that we do it right. We learn, adapt, implement, then learn again, and make ourselves better. But the beauty of this first seven weeks of production is that the team in Turtle Creek is operating at a Six Sigma level of yield off of the line.  The second thing that I'd like to talk about is the simplicity of this product. We had a benchmark done of our manufacturing process versus building an EV battery of an automated line. So the Z3 automated line, we have one-third the parts that go into the module itself. We have one-third the processes to be able to manufacture those batteries with one-third the stations and also critical to note with no cleanrooms. It's precise, but it's not complex. And you see that complexity, that simplicity coming out where we use 1/20th of the PLC automation codes. The software that's used to operate the line, we'll use 1/20th of the code that a lithium-ion battery line will use versus an Eos line.  Now all that coming out on the other side, I think on the far right, this is important. We've already gone through UL 9540A testing on this battery. One of the tests that you do is shooting a nail at the battery. And the reason why you do that is to see if the battery will -- if it will cause a thermal event or explosion of the battery when shot with a nail. Well, I'm happy to tell you that they tried it four times and the nail wouldn't even penetrate the battery. So we went through the testing, it was unexplicable.  We've gone through -- we went more than 2x the specification required with no fire, so proving out it's not flammable, with less vapor, because remember water base [indiscernible], thermal event you're driving heat, the heat then turns to steam and our safety measure is to vent out the steam out of the battery. We've passed those tests with flying colors. So very proud of the team here to go from set a line up, build it first cube 9540A, now we're starting UL 1973 testing, so well on the way to having a product that will be out in the market relatively quickly.  If we go to Page 13, this shows the clear advantages that we get as a company and U.S. shareholders of the Z3 versus the Gen 2.3, and why we made the decisions that we made. To do 1 gigawatt hour of line is 50% lower capacity investment than what you have in Gen 2.3. The cycle time comes down from about 55 minutes to build the battery to around 90 seconds with a Z3 battery. When you think about how that operates?  If you just see between the pictures here on the second column from the left, the Gen 2.3 battery has 2x the cells and more than 2x the parts of what we have on the Z3 battery. We get 9x increase in battery output on the line with an automated Z3 factory. So it's just a great move for us from manufacturability, repeatability and quality. The energy density of what the customers buy goes up 35%. And the size comes down by 50%. So it's really a great product that becomes power dense. It can be built faster and it can be built at scale as high quality.  And that equates to the fourth one which is at launch. We're starting off at a cost position that's 50% lower than the cost that we had for the Gen 2.3 battery when we launched it. And that's because of the materials that we're using in our build of materials and in the battery itself, which reminding everyone, again, are about 95% sourced and manufactured in the United States. So product invented in the United States, perfected in the United States, built in the United States, is something that everyone in the company, whether we’re in Edison or Turtle Creek, are very proud of.  Now shifting gears and going to the commercial pipelines and orders backlog. Let's go to Page 15, which is our classic commercial pipeline page that we review every quarter. And I’ll remind everyone, lead generation are projects where customers come with an idea and they don't yet have a technical use case that we can give them an offer on. That number is up nearly $2 billion since last quarter. What happens is in general, about 30% of that converts into current pipeline. Current pipeline we define in three segments. First one is where we can give a technical proposal, where we can give a non-binding financial quote, and importantly, when we can get a letter of intent or firm commitment of basically, in layman's terms, the customer comes and says, if I win this project, Eos is my technology provider.  We focus on that because we want to be on the same side as the customers, they go through that negotiation. You can see $7.5 billion. But more importantly, in this number, we announced an order in January with a prominent energy storage operator in the United States that had a conditional off-take agreement of 4 gigawatt hours. And you can see in gray, what that conditional off-take agreement does for the LOI/firm commitments. And I can tell you, from our standpoint, it's great being on the same side of the table with that operator and we look forward to that gray.  Going over to the far right, which is the backlog of orders that we have on hand, which we talked about earlier stands above $450 million, the delivery and we talked about this many times, there's really three main components I would say inside of there. You've got specific projects that we have to deliver. You've got those long-term multiyear service agreements that I talked about earlier -- the supply agreements, excuse me, that I talked about earlier, and then you've got a service component on when that installed base gets up and running. So that goes into that $463 million.  It's hard to model that number out specifically, just because of the fact that we don't know how those multiyear supply agreements are going to play out from demand from the customer. But having that backlog makes us feel good about the investments we're making, the way we're positioning the product. So I think we made a lot of progress. The area that we got to work on as we move forward is going to be getting the Z3 up and commercialized and continuing down the road of becoming a profitable company.  With that, I'll turn this over to Nathan who will walk through the financial results, and just officially like to publicly welcome to the team. It's been great working with him here. Over the past couple of weeks, we've been all over. We've been kind of in our honeymoon phase of working together and we've been spending it both in Edison and in Turtle Creek, so it’s been great working with him, getting to know him and getting him on the team. So Nathan, turn over to you. 
Nathan Kroeker: Thanks, Joe. It's great to be part of the team. Good morning, everyone. By way of quick introduction, I took over for Randy earlier this year and I'm happy to report the transition is going smoothly. I'm a CPA with a background in public accounting and M&A, been nearly 20 years in power generation, renewable, risk management, and electricity and natural gas trading and marketing. I've been explaining to investors for years that we need an efficient long duration storage solution in order to support the growing concentration of renewable generation on our electricity grids. When I realized that Eos has a proven technology that I believe is ready to scale, I got very excited about being part of this storage solution. Now, turning to the next few slides, I'll walk us through the fourth quarter and full year financial performance along with our outlook for full year 2023. Fourth quarter results were directly impacted by the passage of the IRA and our strategic decision to defer company production from the fourth quarter into 2023. We have worked proactively and in partnership with our customers to defer certain orders so that both we and our customers can better realize the benefits offered by the ITC and the PTC.  The resulting decrease in production volume correlates to the reduction in revenue and cost of goods sold seen in the fourth quarter. We completed delivery of the 80 megawatt hour Pine Gate renewables Eastover project and revenue for the quarter was $2.7 million, in line with revised guidance. Cost of goods sold for Q4 was $30.8 million, a decrease of 19.2 million versus last quarter, primarily attributable to a 45% decrease in unit volume. COGS are down 38% quarter-over-quarter as we also produced commissioning spares to support the Eastover project.  SG&A for the quarter was $12.6 million, including 2.6 million of non-cash items, which is 2.1 million lower than the prior quarter driven by a reduction in professional services and incentive compensation. In addition, we incurred a $4.4 million write down of existing PP&E related to the replacement of equipment and outsourcing of certain production processes as we began shifting production from the current Gen 2.3 battery to the next generation Eos Z3 system. Interest expense was $7.6 million for the quarter, a slight increase due to the increased borrowings on our senior secured facility. The resulting operating loss was $48.6 million with a net loss of 56.6 million.  Now, let's flip to Slide 18 to review 2022 full year performance. Full year revenue was $17.9 million, which is in line with revised expectations and is 3.9x our revenue for fiscal 2021. This increase is driven by nearly 5x the unit volume over last year. Cost of goods sold for the year was $153.3 million, a 230% increase year-over-year primarily driven by the increase in unit volumes. If you compare our revenue and cost of goods sold year-over-year, we are seeing about a 1.3x operating leverage improvement. Cost of goods sold on a unit basis decreased 44% year-over-year.  We invested $18.5 million in research and development as we continue to design and develop the Eos Z3 battery in anticipation of scaling production in 2023. SG&A for the year was $60.6 million, an increase of 17.6 million compared to 2021. 51% of the increase was driven by organic growth of the company as it relates to headcount and payroll-related expenses, and 37% was driven by non-recurring professional services spend. Full year 2022 includes 12.3 million of non-cash items, including stock compensation and depreciation. Full year operating loss was $221.3 million, with a net loss of 229.8 million.  Moving on to Slide 19, we had 17 million of cash on hand at the end of the year. We received 12.9 million of customer inflows as we achieved project milestones. Our net Q4 capital raise was $15.3 million, including 9.5 million in net proceeds from our ATM, and 3.8 million in debt from the senior secured loan and a $2 million convertible note in connection with the standby equity purchase agreement we have with Yorkville. We expect to continue using our existing financing facilities on an as needed basis. Remaining cash outflows during the quarter were $49 million with the details on the right-hand side of this page.  Finally, I'll cover our outlook for 2023. As Joe highlighted earlier, 2022 was a strong growth year and we plan to continue this trend as we enter '23. With the implementation of the Inflation Reduction Act taking place this year, we currently foresee sustained market expansion. We continue to see increasing demand for longer duration energy storage, and we expect to continue our momentum in the marketplace, anticipating $600 million to $800 million in new booked orders while delivering $30 million to $50 million of revenue in 2023.  As we've gone through further Eos Z3 battery design changes and made incremental efficiencies to our manufacturing process, we have driven unit product cost down in anticipation of the imminent launch of Eos Z3 production. The Eos Z3 battery is expected to launch at half the cost of Gen 2.3, and we aim to further reduce these costs by additional 15% this year. As we've said, consistently, the Eos Z3 has clear advantages over Gen 2.3 in efficiency, energy density, materials and production costs.  With that, I want to thank everybody for their time and for listening today. I'd like to turn it over to the operator for questions. Operator, will you please open --
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Christopher Souther with B. Riley. Your line is open.
Christopher Souther: Hi, guys. Thanks for taking my question here. Nice to see the cost of goods sold reduction, about 30 million a quarter, a good run rate for the first half. Should that continue to decline as shipments go down in the first half as we're transitioning away from Gen 2.3, and really before the Z3 kind of launches and ramps? Really starting to get a sense of how much that 27 million in Slide 19 where that goes in the near term, and then whether you can kind of confirm that Z3 is still going to be positive gross margins out of the gate? Thanks.
Joe Mastrangelo: Yes, Chris, I'd say the run rate going in the first quarter, we're running the last Gen 2.3 new shipments in 1Q and then transitioning into Z3 in April of this year. I'd say on the margin on Z3, the goal is to have a run rate by the end of the year being gross margin positive. And that's still the plan as we go through this and ramp up. We're pretty encouraged by what we're seeing coming off the manufacturing line that we have right now for Z3, both from the yield and then cycle time. We've got to continue to work that and continue to work on cost. As Nathan said, one of our top three goals we always have to remember, the Z3 at launch is 50% lower than Gen 2.3 was at its launch. And the goal is to take that cost down another 15% as we go through the year. And that's going to be a combination of volume leverage as we ramp and then also continue to work on the system configuration to take cost down.
Christopher Souther: Got it. Okay. And nice to see the initial Z3 station cruise and battery tier. Can you walk through how we should think about the CapEx needs to get to production ramp in the -- beginning in April I guess? In the update a month ago, you called out the DoE loan for as much as 250 million. So curious as to how we should think about the capital needs as we wait for a commitment there, and whether the timing there keeps getting pushed that would impact the 2023 revenue guidance?
Joe Mastrangelo: Yes, so let me start with the guidance number. Look, I think we gave a range on guidance just because of the timing -- the uncertainty in the timing of the DoE loan of not knowing exactly when it's going to happen. So when you think about it, the low end of the range is a late or no DoE loan and you execute with a partially automated manufacturing line, continue to find other avenues to raise capital to grow the company. That being said, nothing is guaranteed but we are having good discussions with the DoE and working through and negotiating to get to a term sheet. We feel good about it. But nothing is done until the ink is on paper. So what we would do is, and where we're going to start is, we will start manufacturing with what we have on the floor right now. That's a full production line. So I think it's important, Chris, just to give a little color around your question of the strategy of how we are at. So what we've done so far with Z3 is put in individual manufacturing stations to learn how to actually build a good product. So you -- the core manufacturing processes with a minimal investment, we're producing batteries off that line, those batteries are performing. You then take that single manufacturing station and build out additional equipment to increase your throughput, still using partial automation. So basically you're feeding into the machines automation, but you are not moving between station to station automation. And then from there, the plan has always been in the fourth quarter of this year to get an automated Z3 line in, which would give us an annual capacity ramp rate of -- timing of the DoE loan, timing of other financing, the goal would be automated line in 4Q gets you to the top end of the revenue range.
Christopher Souther: Got it. You cut out for just a second. I think it might have been on my end, but on the rate that you'd get with that automation, the annual run rate?
Joe Mastrangelo: 1.2 gigawatt hours.
Christopher Souther: Okay. Thanks. I’ll hop back in the queue. I appreciate it.
Joe Mastrangelo: Thanks, Chris.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Martin Malloy with Johnson Rice. Your line is open.
Martin Malloy: Good morning. Thank you for all the details about the manufacturing process and how you've been ramping it up. I want to ask about your comment about reaching gross profit margin positive by the end of the year. What kind of dollar per KWh does that imply?
Joe Mastrangelo: So, Martin, we don't give guidance on that number, as far as the implication of that. Just again, from a strategic standpoint, I don't know that we want a specific number out there.
Martin Malloy: Okay. And I'm sorry if I missed it, the dollar cost of getting that automated line will get to the 1.2 gigawatt hours. What approximately would be the CapEx involved?
Joe Mastrangelo: So the CapEx, if you go back to the Z3 page of fully automated line is between 30 to 35. The first line, you probably have $10 million of automation development work we have to do. So you're talking about under $50 million to get the first line up and running. And then subsequent lines for 30 million to 35 million.
Martin Malloy: Okay, great. I'll hop back in the queue. Thank you.
Joe Mastrangelo: All right. Thanks, Martin.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Joseph Osha with Guggenheim. Your line is open.
Joseph Osha: Thanks. Good morning, Joe. I'm just wondering if we can return to the DoE for a minute, understanding that your ability to comment maybe limited. Just brief us on where we are. As I recall, we had completed technical due diligence. And you were in the middle of an approval process. I think I heard two things, a term sheet being negotiated and then I think I also heard the words later in 2023. So can you update us on where exactly you stand in that process? And I guess to the extent possible, what that means in terms of timing?
Joe Mastrangelo: Yes. Joe, so again think about the overall process where we were. As you said, we went through the Phase 1, which was prove you have a commercial product. We then went through Phase 2, which was pre-due diligence to are you viable? You then go into full due diligence. We've been in full due diligence. We're in the process of going through business model assumptions. I think the really good news for us is, as we're going through and talking about our manufacturing process, we can bring the team from the DoE here to Turtle Creek and go up on the shop floor with our automation supplier and walk them through the plan to get everybody comfortable for the ramp that we're going through. From there, you go and it's a normal negotiation where you're doing the CPEs [ph], term sheet and then conditional approval and closing and funding, so no guarantees on timing, no guarantees if we're going to be successful, but we're in that process now of term sheet CPEs, get that finalized, submit for conditional approval. Hopefully have conditional approval here in early second quarter, I would say. And then from there, you've got timing to get to the CPEs for funding. So when we say second half of the year, hedging on the timing and how we're moving but feel good about the collaboration, we have a DoE and I think it's also important to remember, the LPO program has two loan programs; the automotive program, which is when you look at the loans that have been announced to date, even the one that was announced this week, was under the automotive program. I think the LPO has done a great job of establishing a value chain for lithium-ion manufacturing from raw materials through the [indiscernible]. Our loan is under Title 17, which is a different loan program with a different risk -- with a different screening process what I would say, and that process is different than automotive. And I think that's why we're kind of working through this as an innovative technology to get through the process.
Joseph Osha: Okay. Not to be pedantic though, I guess I was under the impression that you guys were through the process of technical due diligence, but I'm hearing things like people being in the factory. Are you still at the point where you're trying to get through this technical due diligence process or not?
Joe Mastrangelo: No, this is more a modeling exercise and going through assumptions to the model, how we derive those assumptions, how those assumptions equate to the -- I think the understanding that we have a product that works, when you get through UL 9540A and you’re cycling on it, that's kind of show me time. We show with actual physical things. Now you're going through and saying, okay, assuming all this, how fast can you ramp? What will the cost be to ramp? What's the market? And what's the model that you come up with to base the loan upon?
Joseph Osha: Okay. And I’ll step back in queue in a minute. But is it perhaps fair to say that this pivot to Gen 2.3 and some of the economics around that and how you're trying to pivot your business has perhaps impacted the timing of this loan process?
Joe Mastrangelo: Joe, what I would say is going through and when we started on the Z3, it was drawing board -- we were in drawing board phase end of the summer building prototypes in the lab at Edison. As we've gone through, and I think part of this was by December we'll have a single station lines up and running that we kind of got there, and then you're kind of going through, okay, how do you ramp that? How do you understand that? How do you understand the shakedown cost of a new line? How do you then ramp up? What's your scrap rates going to be? So a lot of this, it's very detailed. I have to say, like, it's very thorough. Part of that was because of the fact that we're saying here's what we did with Gen 2.3, we've proven that we can ramp, here's the benefits of Z3. Obviously any switch like that, there's questions but there's enough supporting documentation and everybody feel comfortable that we have a product that works and can be produced with a plan and a design and a partner that will build an automated line. And what I talked about in the earnings this morning where we talk about a third of the parts, a third of the stations, a third of the move, and 1/20th of the PLC automation, that's from our automation supplier who has themselves built a lithium-ion battery line. So they know the two lines, and they've given us the benchmark about the simplicity of what we're doing. And I think that helps everybody understand that this can be done and can be done quickly, as we've been saying, since we've gone public.
Joseph Osha: Okay. Thank you very much.
Joe Mastrangelo: Thanks, Joe.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Vincent Anderson with Stifel. Your line is open.
Vincent Anderson: Thanks. Good morning. I was hoping you could give us just like a real-time update on new orders as the market continues to work through the details of the IRA. And then how much of the 600 million to 800 million of expected booked orders this year would you hope to come with a deposit? And then just last point on that one is are those deposits part of your mid 2024 positive operating cash flow target or is that not part of that equation?
Joe Mastrangelo: Yes, Vincent, good morning. So yes -- on the last part of the question, yes. Deposits are part of that. I think the range I would say as far as the target is between 10% to 20% depending on size and timing of delivery that we have. What I'd say from real-time update on the market, look, the market continues to move as our commercial pipeline page shows where we're getting a lot of current pipeline deals coming in. I think there is this time period that we're in where people are waiting for guidance from treasury on how the ITC will be implemented under the IRA. So there's a period of, okay, we like your technology, this is what we need, we're going for longer duration storage, we're looking for lithium-ion alternatives. Let's see how the IRA actually gets implemented. And that's kind of where we are right now. But the good news is, is that the pipeline continues to grow with real projects and blue chip names. And we feel really good about the conversations we're having with customers continue to build backlog.
Vincent Anderson: All right, excellent. And then you gave us a lot of really good detail on the Z3 expansion. But if you could just hit reset in terms of how many lines do you have to convert versus build new? It sounded like you said 9x the output per line, but maybe I misheard you. And then just framing that in the context of the current changeover this year, and then what you'll need to start converting more of the backlog as we move into 2024?
Joe Mastrangelo: Yes, so simple terms, a Gen 2.3 battery from raw materials to put in a container, that manufacturing cycle time by the time it takes about an hour to weld it. And then your applied time to get it filled and closed and wired gets you up to about 90 minutes, 80 to 90 minutes of cycle time. The Z3 battery automation line at scale, that cycle time comes down to around 90 seconds. So that's where the 9x throughput comes from. And again, part of that is just half the parts go into a battery than what you have. It's smaller. And that was the design flow manufacturing. So if you think about the way we were building the Gen 2.3 battery was using infrared welding. You have 41 infrared welds to build a battery. With a Z3, you're inserting bipolars into a casing, and then there's one vibration weld close to it. So the ability -- this product was designed to be able to be high flow manufacturing, low cycle time, high yield product, and it's proving out to be so on the manual manufacturing line right now. When you think about where we are right now, we're basically, again, a lot of manual operator working on the product. It takes approximately 10 minutes right now to build the battery. We're in our seventh week of production.
Vincent Anderson: Okay, that's excellent context. Thank you. And then just to sneak one more in really quick. Can you just remind me where the pipeline and more specifically the backlog stands in terms of their, I guess for lack of a better word their indifference to being supplied the Z3 versus the 2.3 that they probably signed the new order on, if there's any kind of requalification any of them are asking for?
Joe Mastrangelo: No. So when we sold the backlog, as we sold, we were very upfront about moving to the Z3. So everybody knew this was coming. Part of what we did in 4Q was switching over early backlog on the 2.3 to the Z3. Customers obviously love the Z3, because it's fewer containers for higher output, so lower civil [ph] costs, better performance. So that's the whole process that we worked through here in 4Q to set us up going into this year. But everybody likes what they see from the Z3 and how it performs. And as we talk to customers that are in the backlog that are going to be getting this product, they look at this as really a step function change in the evolution of the company, which is great.
Vincent Anderson: Excellent. All right. Thanks, again.
Joe Mastrangelo: Great, thanks.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Chip More with EF Hutton. Your line is open.
Chip More: Good morning. Thanks for taking the questions. I wanted to ask a follow up on your commentary around working with customers on timing of IRA and that implementation. Any implications I guess on how to think about quarterly revenues with a more limited automation year for now?
Joe Mastrangelo: Chip, the quarterly guidance as we go through what I would assume is the 50 million as the automated line comes online, that's where a lot of the volume will come in, when you think about the gap between the 30 and 50 I talked about earlier.
Chip More: Got it. Okay. Yes, I would just trying to get an understanding of maybe first half would be necessarily lighter with waiting for details on IRA.
Joe Mastrangelo: Well, absolutely. And when you think about what we said earlier on Chris' question was the revenue guidance is 30 to 50, 50 with the automated line comes online in October. You can kind of figure out where that 20 million is going to fall.
Chip More: Got it. Okay. One more, Joe. I think you talked about seeing customers increasingly look at sort of these master multiyear agreements. Maybe expand on that as you referenced tighter lithium-ion capacity [indiscernible]?
Joe Mastrangelo: Yes. So the multiyear agreements are customers really coming and saying, look, we've got projects over a period of time, three years -- most of the ones are three years. And they come in and say, look, we want to have access to capacity, we'll have a notification date to lock in your capacity, because there is a shortage of lithium in the market here. Depending on how you look at this, probably the next 12 to 24 months depending on how much of an optimist or not so fast [ph] the supply chain can ramp and what happens with EV demand. So you've got people coming in and saying I want to lock in a multilevel agreement, because I have this pipeline of projects. When you look at the agreement that we signed in January, that's a pretty exciting one, because that's a six-year agreement, we're creating projects with that customer to hopefully be able to secure volume under that agreement. But it gives both of us the certainty of the capacity will be there. And then we're on the same side as the customer working these projects through their deal process and how they can win and succeed in projects for both of us.
Chip More: Okay. Thanks.
Joe Mastrangelo: Thanks, Chip.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of James West with Evercore. Your line is open.
James West: Hi. Good morning, guys. 
Joe Mastrangelo: Hi, James.
James West: Joe, as you await -- I guess two things here, treasury guidelines kind of when are you expecting those to be finalized that recognize U.S. government and you can't make a direct call on that? But then secondarily, with the customers that are kind of waiting to order or even take delivery of product before those -- when those guidelines come out, how quickly do you move from okay the guidelines is there, now we know to start delivery and recognize revenue?
Joe Mastrangelo: Yes. So James, what I would say is, it's a 2024 -- there's projects for 2024 and then there's volume that starts ramping up in earnest in 2025. When you really think about what's in the opportunity pipeline and kind of segment out of where people are thinking they want deliveries, it starts to ramp in 2024 and then really ramps up in '25 Now when you look at the forecast, by '25 we’re forecasted to have a global 100 gigawatt hour market with half of that coming from non-lithium-ion. So '25 is the year the industry ramps in earnest.
James West: Right. Okay, understood. And then in thinking about the LPO office and kind of their diligence process and your process with them, do you need to access capital between now and when that term sheet may be finalized?
Nathan Kroeker: It's good to meet you, James. Nathan here. Yes, we may have to. It just depends on the timing. And if we do, obviously we have a couple of [indiscernible] recommends us the SEPA and ATM. And again, it's all about the timing of when we finalize the process with the DoE. 
Joe Mastrangelo: James, I would just say the strategy that we've always taken on capital raises is to raise what we need to keep moving forward to the goal. We're always out in the market, given our situation where we are. So Nathan said we've got our two programs in place that we use judiciously when we need to. And then as we start to get better understanding of where we're going to land on that, we'll raise capital as required, but always mindful of keeping the company on the growth trajectory and then managing the capital that we bring in and how that impacts the capital stack of the debt of the company.
James West: Sure. Okay, fair enough. And then just to be clear, the two programs that you have do have enough funding capability in there to get you to that, even a delayed timeline?
Joe Mastrangelo: Yes. I think our availability under the two programs combined is north of 100 million.
James West: Right. Okay. Just want to make sure. Okay, great. Thanks, guys.
Joe Mastrangelo: The remaining availability, yes. Thanks, James.
James West: Got it. Thanks, guys.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Tim Curran [ph] with Seaport Research. Your line is open.
Tom Curran: Good morning, guys. Tom Curran here from Seaport. Joe or Nathan, just trying to evermore fine tune this. So if you were to achieve the high end of guidance, 50 million in revenue, Z3 fully automated line of 1.2 gigawatt hours of capacity, 15% unit cost reduction, and exiting at a positive gross margin, what would be the next milestones you'd be focusing on? Or that you would think of as vital to be able to achieve that first quarter of breakeven in EBITDA? Would it just be about ramping to that required threshold of quarterly revenue run rate, would there still be more work to do on the cost side and a specific gross margin level you'd need to hit? Could you just help us plot out a little better what would have to come next to get to that first quarter of breakeven?
Joe Mastrangelo: So I think a big piece of this is as you mentioned is just scale, right? Spreading our fixed cost base, whether it's public company costs or other overheads, spreading that across a greater number of units. But the other side of this is just continuing to drive additional costs out of our product. We're given guidance today on where we expect to end the year in terms of product costs. But that doesn't mean we're finished with that. That means we'll continue to work on driving product costs out in 2024 and beyond. And again, some of that comes with managing our supply chain, some of that just comes with the automated line and scaling up on production volumes.
Tom Curran: But just to be clear, if you were to achieve the high end of guidance, you would still expect to be on track for that midyear breakeven accomplishment?
Joe Mastrangelo: Yes.
Tom Curran: Great. I know that last year, Blue Ridge Power and Pine Gate Renewables accounted for 81% of revenue through that Eastover project. For 2023, what's your biggest customer or maybe single largest project, if that's a better way to frame it, contribute to the top line? And what range do you expect for that percentage along with a revenue guidance band of 30 million to 50 million?
Joe Mastrangelo: So it's a lot more balanced as we go through the year and you look at what's happening. So you've got deliveries across what I would say deliveries balanced across five core customers, so it's not as concentrated as it was doing Pine Gate, which was the biggest project we've ever done.
Tom Curran: Got it. And the last one for me, higher level sort of intra zinc battery competition related, but I read a recent report by Mercom Capital and it turns out the ninth most popular energy sector subcategory for venture capital last year was zinc-based batteries. So I thought that was really interesting, very encouraging in terms of technology concepts. There were five zinc-based battery deals last year and those five collectively attracted 123 million of funding from VC firms. Could you update us on what you think of as a major competitive advantages of Eos in the zinc relative to some of the other players within your chemistry niche, acknowledging look this is commercially early for zinc-based storage solutions but just wondering if you can give us a sense based on how much of an early mover advantage you have with the capacity you have in place, it's already producing a sense of how much share you've captured, how big of a lead you had relative to those other zinc players?
Joe Mastrangelo: Yes. So the way I always think about this is Eos is 15 years old. There's three five-year development periods in the company. There was the first five years which was, get your chemistry and configure. Second five years was, okay, let's start coming up with the product doing prototype and pilots. The last five years since I've been here is really about scaling manufacturing. I think the next phase, which we are going into this year for our company, is producing at scale and getting to profitability. So I don't know where the companies that got funding are in that development phase. What I can tell you is like getting venture capital funding, they're probably in, if not the first, probably that second phase. They’re twice as good as us. They're probably five to seven and a half years behind where we are. Because what you don't know, and I'll tell you what I've learned in my five years coming in here is that you really don't know what you don't know until you try to produce this thing at any kind of scale. And then when you start producing, you are going to get humbled and taught a lot of lessons as you go through. And as you go through that, you can come out the other side, but you got to make sure when you go in, you've got a cost effective manufacturing line that you're not spending a lot of capital to be able to build the battery, and that you have a reasonable build of materials that you can work on to come up with something. And whatever they have right now will look differently when they're at commercial scale. And by the way, we need more than just Eos in this space. So I really hope that there are other people standing alongside of us with zinc-based technology. Now what's different from our technology than what most are doing in the zinc space is that we are a static self contained battery, not a flow battery. We've worked through and come up with ways to simplify -- the Z3, the simplicity of the design and how it works really gives us something that we can build from. So people have to get to that point. And that's why when you look at the battery space, there are so many companies that you say, wow, they got close but what happened. What usually happens is like, well, I really can't build it and I can't get the yield I want, or I can't get the cost out. And we've just been consistently, as I said in the comments, it's truly mindful learn, adapt, implement, and just repeat that cycle, trying to be as cost effective as you can as you go through this. It's hard work to get there. And they have a road in front of them that they got to get through this, but our battery is different. It's not lithium-ion and it's not a full battery. We call it a hybrid for a reason, because we try to be the best of both of those to give a differentiated product to the market.
Tom Curran: Great answer, very thoughtful. Thanks.
Joe Mastrangelo: Thanks.
Operator: Thank you. I'm showing no further questions in the queue. I will now turn the call back over to Joe for closing remarks.
Joe Mastrangelo: Thank you. Now, look, thanks everybody for listening in this morning. We are going to keep our heads down working on what we can control and building a great company. Thanks to all of our shareholders for the support that they give us and the customers for the trust that they've put in us to deliver projects we think and believe as the days go on, we're building a company that has a lot of intrinsic value that gives the world a product that needs to power its future is something that's never been done before. And that's a great challenge that we all love, putting our minds and hands to work every day to make that happen.  And the last thing that I just want to end on is like the team that we have in this company and what we're really doing. I want to apologize for some of the background noise here this morning coming from our microphone because Nathan and I are sitting literally on the edge of the shop floor and the people on our shop floor, when I look at this, we always talk about creating green jobs and green high tech jobs. We're not creating green high tech jobs. We're creating green careers for people in what usually either called the Mon Valley or the Electric Valley here outside of Pittsburgh, Pennsylvania, and giving these people an opportunity to do what they're doing. It's motivating to me to watch what they do every day and how they're delivering for our customers.  So thank you for the time and look forward to continuing to update everyone as we go through the year.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.